S. K. Cheung: Good day, everyone. Thank you for joining this online briefing to discuss First Pacific 2025 first 6 months financial and operating results. The results presentation is available on First Pacific's website, www.firstpacific.com under the Investor Relations section Presentation page. This results briefing is being recorded, and the replay will be available on First Pacific website this evening in the Investor Relations section. For participants of the media, please note the Q&A session is open for investors and analysts only. If you would like to ask questions, please contact us after the briefing. Today, we have with us our Executive Director, Mr. Chris Yang; our Chief Financial Officer, Mr. Joseph Ng; Associate Directors, Mr. John Ryan and Mr. Stanley Yang and other senior executives from First Pacific head office. Over to you, John, for the presentation, please.
John W. Ryan: Okay. Thank you, everyone. This format is all very familiar to you. Once we flip the page to Page 2, let me remind you that all of the -- there we go. All of these numbers with an underline are clickable links. So if you're looking at the presentation on screen, you want to look at the Maya Digital Banking unit of PLDT, which is a great story, just click on that 23 down there. When we turn to the next page, that familiar picture of the some of the more important investments that we have hasn't changed since the last time we had such a meeting together. What has changed, I suppose, is on Page 4. As of the end of June, our gross asset value is about $5.6 billion. And as you can see, 3 of our 4 core holdings are $1 billion companies, Indofood over $2 billion, MPIC and PLDT over $1 billion. The way we count our valuation, let me remind you, is the listed assets like PLDT, Indofood and Philex, we mark-to-market at the end of every day, an e-mail that the finance department sends to senior management. And MPIC, I'm sure most of you recall, we value at the share price of [indiscernible] when it was privatized fully in -- way back in October of 2023. Now briefly about our earnings for the first half of the year on Page 5. I'm sure you all expected that our recurring profit would rise to a record because you all saw mostly the 1Q numbers of our operating companies were good and there was momentum. Lo and behold, there it goes. Our turnover rose just a tiny bit with increase at MPIC offsetting declines at PLT. Contribution from operations, however, that was up 8%, not far off a double-digit increase, well over $400 million, and that's versus the previous record high of $391 million. And if you're counting the 5 previous first half results at First Pacific were successive record highs. So we had a sixth one just now. And you'll remember that our FY 2024 earnings were a fourth successive record high. Now Indofood, PLDT, MPIC as they have been doing lately, delivered record high revenues because let's not forget, they are located in the fastest growing part of the world, and they are working in defensive industries, providing essential services. So people are eating more noodles, driving more on the roads, and they're consuming more electricity and so on. With the interest rates trending down, our interest bill was down 10% to $35 million in the first half. Corporate overheads were up just a little bit. And recurring profit, again, a record high. That's a double-digit rise of 11% to over $375 million. And there were little changes in foreign exchange losses swung to a gain and nonrecurring losses of $3.4 million a year ago swung to a gain of over $5 million. Our recurring EPS up 10% to USD 0.0882. And our Board of Directors this morning approved an interim distribution of HKD 0.13 a share. And I believe that's going to be distributed on September 30. Don't hold me to a bit, somewhere around then. As we've been saying for a good year, a couple of years, we are confident of continuing earnings growth in the medium term for the reasons aforementioned. Now looking at the middle chart on the right-hand side, you can see the big factors in the change in recurring profit. Clearly, MPIC was the big driver in that. They've had a tremendous first half of the year. Now let's look on the next page to have a view of our balance sheet and cash flows and things like that. Our debt maturity profile here is as at the end of June. There's already refinancing in place for the $200 million falling due in January 2026. So there's really nothing essentially falling due until our only outstanding bond comes due the following year. As you can see, it's a bit under 1/4 of all of our borrowings. We have historically said we like bond borrowing to be about half of the total. And that's kind of reflected in a sort of proxy pie chart on the right-hand side where you got the red and the blue showing our fixed rate borrowing is a little over half of the total. So I guess sometime in the next year or 2, we might be going out to the bond market, but that all depends on market conditions, as you all well know. Our CFO, Joseph Ng can speak to that. Now we've got some -- a chart here on the bottom left that you've seen already in March. We didn't put in the first half of 2025 dividend income because, quite frankly, a very important source of dividend income comes from Indofood, and that's not delivered in the first half of the year. So it would be misleading to show you the half. But you can see our interest coverage ratio is down to 4x at the end of the year, and that was stayed the same by the end of June as these various bullet points on the right-hand side described to you. Essentially, we've got 2 credit ratings, which are investment grade, and we've been investment grade ever since we began getting rated a couple of years ago. And as you can see, both S&P and Moody's give us stable outlook. You can see there on the dividend income chart that we went over EUR 300 million for the first time in about 8 to 10 years in 2023, did it again in 2024, and that looks like a pretty comfortable figure for us. Going forward to Indofood on the next page now, please. As you can see, the sales keep hitting record highs. Every year since 2014, their sales have reached successive record highs because they sell more and more instant noodles and dairy products and other packaged foods. Now sales up again to a record high. EBIT down 1%, core profit up 2%. And if you've become used to in recent quarters of seeing core profit grow much faster, the slowdown really is explained by that blue box down at the bottom. The margins on many of the biggest sellers like noodles got a little bit worse, and that's because input prices went up, which input prices can we look at? Well, let's look at the Agribusiness EBIT margin. CPO went much higher in price. So the Agribusiness delivered excellent growth, and that was offset to a certain extent by the Consumer Branded Products division, which nevertheless did manage to eke out an increase in sales of 2%. Now going forward, you can expect more of the same from Indofood. They're going to look at market share and profitability and decide what needs to go in order to keep things going forward the way they like. Now let's flip over 2 pages to Page 9, where we can see the change in sales at Indofood and what's been driving that. There you go, you can see the greater profitability of the agribusiness is reflected there. The biggest increase in sales is the plantations business, followed by the ever-growing noodles business. The blue box on the right-hand side shows you that noodles make up almost half of all sales at Indofood, and that's been a pretty steady number over the years. I think their capacity for noodle production is now around 37 billion packs a year globally. And if you were to claim they are the biggest maker of instant noodles in the world, I think a few people would challenge you. Now we're going to move over to Metro Pacific on Page 11. This is a page we're all extremely familiar with. There has not been much change in the past 6 months since the last time we spoke to you. But as you can see or as you will recall, the Toll Roads business has been getting a lot of growth in the past 1.5 years, mostly in Indonesia. Now at Page 12, let's remind ourselves what is the ownership structure of MPIC. We own just under half of that company, and we valued it at the half year at a little over $1.3 billion. That $1.3 billion makes up almost a full quarter of First Pacific's gross asset value. Now let's have a brief discussion of their earnings on Page 13. The contribution rose enormously, 18%, a record high. And that was driven, as you can see in the chart on the bottom, by the power and water businesses. The water business benefiting especially from tariff increases. I believe their volumes actually shrunk a tiny bit. And the Toll Road business did not grow very much because our stake in that business was lower than it was a year earlier, owing to the entry of Marubeni on the shareholder register of the Toll Roads business. The key contributors are in the pie chart there on the top right-hand side and the contribution there is -- we're only showing positive contribution. There are a couple of loss-making businesses like, I believe, Rail lost a tiny little bit of money. But as you can see, power is enormously important. Now in the interest of time and efficiency, we'll go over the operating companies under Main -- sorry, under MPIC in the Q&A. And you can always follow up with the messages to Sara or to me for a more detailed one-on-one conversation. So we're going to flip forward several pages to 21, where PLDT again keeps having record high revenues. EBITDA also is getting to be record highs. But Telco core profit was down a little bit. The entire industry in the Philippines, albeit made up of a very small number of players, is ferociously competitive, and that's the result that we see here. Now if you're talking about ordinary core profit, which is a bigger number than Telco core, ordinary core profit includes the fintech digital banking arm of PLDT, Maya Innovation Holdings, I believe it's called, Stan. They showed profit for the first quarter and the second quarter and of course, for the first half of the year. And their contribution to PLDT was about PHP 400 million. And my colleague, Stanley Yang, can talk more about that. It's a company I am personally very excited about. I think it's the most interesting thing happening in PLDT because it's growing like [indiscernible]. And because I regard it so highly, we'll click to Page 23, and you can look at the stunning growth in all of those column charts, Bank depositors growing up sevenfold over the 3.5 years or so. Deposit balances doubling and almost tripling. And then the loan disbursals have grown enormously, I think 20-fold or something over that period, 30-fold, if you look at that bullet point there. And as you can see, it's making money. The ownership is described at the bottom of that page. First Pacific has a direct 1.4% stake. PLDT is the biggest shareholder, 38%. Now Pacific Light Power on Page 25 has joined the ranks of holdings we regard as core in recent years because as you can see, beginning in about 5 years ago or so, they've had pretty decent earnings growth, maxing out in 2023 when they gave us an enormous dividend payment along with giving it to their other shareholder, which is Meralco, the power company that we are invested in via MPIC. 2024, there were -- nonfuel margins were a bit lower. So the revenues were down a bit. Their market share was a bit under 10%. And an interesting thing is almost all of the electricity sold was via vesting contracts and contracted sales, which gives them a very confident outlook looking into the future, the shape and flow of their revenues. Now over to my favorite small gold and copper mining company, Philex. Padcal, the mine up in north of Luzon did what you expect it would do. It made a little bit of money on ore grades that are declining a little bit more every year. This mine has been operating, I think, for about 6 decades, which felt like me really, but it's still managing to turn out a profit, helped by gold price being up by more than a quarter and offsetting a decline in copper prices resource grades and lower recoveries, notwithstanding the higher production. Now the exciting thing about Philex is the Silangan Mining Company, which is on the next page. That is scheduled to open Phase 1 commercial operations next year. I personally find it very exciting because you can compare the ore grades at Silangan. They're in the top right blue box and where you're looking at copper of 0.5% or more in terms of percentage of volume. And then the grams per tonne of gold is not far under 1 gram per tonne, whereas over entire Padcal, the gold grade is less than 1/3 of what you can get at Silangan. Silangan is in Mindanao now, and it is a main topic of conversation when directors meet to plan towards the opening of that mine in the first half of next year. We've got 2 directors of the Philex Board with us. You can ask them some questions about it. Now I'm going to wind up the introductory remarks with a glimpse at Page 30, which shows our adjusted net asset value per share over the 2.5 years beginning at the end of December 2022. And I'm focusing on here the share price and discount to our gross -- to our net asset value on the line below. So at the end of '22, we were $2.33, 60% discount. A year later, the share price was 33% higher and the discount was down by almost 5 percentage points. Then we had a 44% increase in the share price to $4.51, discount down quite a bit to 38%. And at the end of June, the share price was up again. I think it was maybe 30-some percent there to over $5.50 discount down to a shade under 30%. In trading this morning, while our directors met to go over the interim results, the share price was down in the market, and we released our results shortly afternoon, trading reopened at 1:00 p.m. and bang, I'm told we reached a high of $6.66 in intraday trading before closing at 6.51, which is a new 10-year high. I haven't seen the end-of-day e-mail about the NAV discount, but I wouldn't be surprised if it was a number below 15%. It's come down quite a lot as our share price has increased. But how you count First Pacific's gross asset value? Well, that's an interesting question, which I'll probably address in the Q&A, which I think we could have now, Sara.
S. K. Cheung: Yes, that's right. Thanks, John. We are now ready for the questions. You can send your questions to the chat room or you can raise your hand and we will just pick the [indiscernible].
John W. Ryan: Okay. Difficult question from [indiscernible]. I do not have the insight to help with that. You can help us with the Internet Bill.
Stanley H. Yang: Sure. The [indiscernible] Bill, which has recently lapsed into law this past weekend, certainly changes the landscape. It opens the doors for new telco players without involving the franchise. I think in terms of the impact, there's more study to do specifically, but the business of [indiscernible] has a very strong base in terms of its network, its presence both in the mobile, in the fixed and increasingly now into the digital space, as John alluded to on Maya front. And so there's multiple pillars, which PLDT can drive growth, and it does have a strong focus around the consumer experience, the customers to differentiate the product. And so look, despite this opportunity, I think it's one thing to open the market, but it will take time for any new entrant to build up their platform and to compete and provide the quality of services that the customers would expect. And so from our perspective, the opportunity is there for PLDT to take advantage of their strong position to leverage the brand that they have built and also to continue to improve the network and services so that the customers will, one, be sticky, but also to find new growth through the customer base.
John W. Ryan: Okay. Thank you very much, Stan. Joseph, which [first pack] companies are benefiting from the AI spending spree?
Hon Pong Ng: Well, there are a couple of -- well, not directly involved in the AI space to say, but there are quite a number of companies in the group like PLDT has the data centers. I think they have 11 data centers just a new one, quite a large scale one in the Philippines. So 11 data centers [indiscernible] PLDT, the enterprise operation. Of course, on the other hand, the power distribution company, Meralco and of course, the power gen would spend quite a bit of power per se, a lot of AI training need a lot of power. So companies involved in the power sector in the so-called Meralco growth, including both the distribution side as well as the generation side will benefit from that. I think it's also helpful for the power generation company in Singapore as well from that angle, they are also involved. And it's not a secret that they are going to build a new plant, 600-megawatt plant in Singapore to meet the growing kind of electricity and power demand in Singapore and one of the major driver for the increase in the electricity demand in Singapore is actually more and more [indiscernible] and data centers are operating in Singapore based on the EMA kind of focus of demand there. So quite a number of companies are actually enjoying the benefit there, but not directly or indirectly through the so-called data center space or the power generation or distribution space.
John W. Ryan: Thank you, Joseph. I'll take the next question. And looking at Page 48 will help. It's about consumer confidence being pretty weak in Indonesia and what does this mean for Indofood going forward. Now I think it can be very useful to look at outside information, particularly macroeconomic forecasting by reputable institutions. And we've got the IMF World Economic Outlook, which is published every October and revised every April. And from the April revision, we've got the chart here you see on the bottom right and essentially, it says Indonesia, Philippines, they're in Southeast Asia, it's the fastest-growing part of the world. And as you can see from these 2 lines where we reset their GDP in U.S. dollars to 100 in 2018, these countries are doubling the sizes of their economies over the course of the following 12 years. Now you do have FX weakness going on, and you can see that on the left-hand side, where over the past 6 years, and now this is historical information, of course, on the left, and it's projections on the right. So historically, we can see the exchange rates of these rupiah and peso have declined by, I think, 9% and 11% in the 6 years shown here. But this -- we've also got the profit of First Pacific. And as you can see, which is a U.S. dollar figure. So as you can see, in U.S. dollars, our contribution is in these currencies. We converted to U.S. dollars when we're reporting our results. And you can see we're shrugging off FX. So we've got these economies growing very, very rapidly. Absolutely positively, confidence in Indonesia is currently rather low. But nevertheless, the forecast remain what they are, and we're very confident going forward. What have we got now, next?
Unidentified Analyst: So just maybe 2 questions from me first before I jump back to the queue. Just the first one is about the holding company cash flow, which the dividend income was down 11% Y-o-Y in the first half. So just trying to check whether there are any timing difference on the decline in the first half? And if any, would love to understand what is it? And my second question would be about PLP. So just trying to understand how many cost savings that we achieved in the first half can sustain into the second half.
John W. Ryan: Richard, could you help with that number, the first question?
Ping Cheung Chan: The dividend?
Hon Pong Ng: [indiscernible], it's Joseph here. Yes, I mean, it dropped a little bit, like what you said is mainly due to the timing difference element because of the higher comparative base in 2024. The main reason for that is that in first half 2024, we collected the final dividend from MPIC and MPIC kind of adjusted upward the dividend payout of 30%. And then it's also the bulk of that is actually payable and collected by us in first half 2024. So that actually created kind of a timing difference. And back to first half 2025, we are kind of back to the normal situation. Of course, I mean, for 2025, first half, they are sticking to a kind of lower dividend payout of 25% rather than 30%. But we expect that the -- because of the growth in profitability of MPIC going forward, we expect that, that will be kind of picking up the growth trend of dividend income from MPIC going forward. So the outlook, I mean, we can't say specifics about the full year, but I think we are quite comfortable about the full year kind of dividend income stream as we got the announced dividend payout by PLDT. We got announced MPIC interim dividend payout. We have collected the final Indofood dividend for 2024 and we clearly manage closely the dividend distribution from the Singapore power operation. So we are quite confident about the full year dividend income level.
Unidentified Analyst: PLP?
Stanley H. Yang: Sure. On the question around PLP, the profit performance, as you mentioned in terms of what happens going forward. The reason for the continued strong performance is not so much in terms of cost reduction, but through the nonfuel margin, which is effectively the spread -- spread between what the selling price of the electricity and most of that is contracted versus the cost of the fuel and so forth. And because the retail team of the company was able to secure rates that were, I think, above what we had expected, then that has continued to provide a strong support for the profit. Now having said that, the -- over the long term, as you go forward, the margins where we are today are still well above what is the long-run marginal cost, the vesting margin, which is what the government -- the EMA would set if they were to give a vesting contract. So it's still a very, very robust margin. And so that is continuing. I think one thing that is helpful for PacificLight is that over the past few years, they've moved their sort of time horizon of the retail contracts from mostly 1 year and now quite a number are 2 years and 3 years and beyond. And so because of the multiyear nature of the contracts in the portfolio, then that helps give some clarity in terms of the continued performance beyond just the next 1, 2 years.
Unidentified Analyst: Thank you, Stan. I wasn't asked, can you just say a couple of words about new power project?
Stanley H. Yang: Yes. And I think the other point is around there's a 670 megawatt CCGT, which is a gas turbine that is under construction and is really starting the process to build because EMA awarded the hydrogen-ready project. And so the timetable of that as the market continues to grow and as mentioned earlier by John, in terms of the growth in the market and so forth for the power that this would come on stream in early part of 2029. And so that will continue to add to the existing portfolio of 830 megawatts with the additional 670 megawatts.
John W. Ryan: And Joseph, our participation in terms of financing this, that's all in hand?
Hon Pong Ng: Well, yes, there will be certain equity requirement by PLP from the shareholders. But at the same time, there will be timing difference. So on one hand, I think we still continue to collect the regular kind of dividend stream from PLP. On other hand, when they really need to put equity into the project, then we also need to then put into PLP share of some of the equity requirement. So in our own projected cash flow, yes, we continue to receive dividend. But over time, then we also need to chip in a little bit into PLP to help to fund this equity requirement to have the 670-megawatt project build out, but that will be spread over a couple of years.
Unidentified Company Representative: Thanks, Jason. Let's now turn to Timothy [indiscernible] question.
Unidentified Analyst: So I got a couple of questions as well. It's quite similar also on PLP. We see that the average selling price at PLP declined, which is, I believe, being largely in line with management previous comment on the pressure on power tariff in Singapore as well. But I'm just wondering if this kind of trend -- how long should we be expecting the power tariff to be continue declining? And how resilient is our current EBITDA margin? That's the first question about PLP. And the second one is also on the power plant CapEx. Can you please remind us whether or not the USD 564 million would regarding the budget with the consortium, including Mitsubishi will be most of the project CapEx? And how much on top shall we be expecting on this project?
Stanley H. Yang: On the question around the margin. So as I mentioned earlier, the nature of the contract, the fact that the retail market, which is 1 year and beyond. So some are 1 year, some are 2 up to 3-plus years, provides a guidance in terms of what the EBITDA margins will be in the near term, the next 1, 2 and even 3 years. There's some certainty around that because for instance, the balance of this year and next year is effectively fully contracted at the levels that give a clarity in terms of the margins. And so it's that nonfuel margin that represents the fixing in the margin. And hence, we have a pretty good visibility on how that will be. Now over the long term, then it's a function of also market supply and demand as the demand curve continues to grow as expected by EMA, the energy market authority in Singapore, along with the additional supply, along with the fuel arrangements in terms of the gas supply in Singapore, and these will be the factors that lead to the understanding of where the margins will be. But as I said earlier, because the margins today are well above where the vesting levels were in terms of dollars per megawatt hour in terms of the profitability, then we expect that there would be some decline. But at the moment, it is a very high level that is above the vesting levels.
Unidentified Analyst: And the second question?
Hon Pong Ng: Second question is about the funding for the equity for the...
John W. Ryan: Timothy, the second question...
Unidentified Analyst: Yes, the 670-megawatt CCGT plant. So I recall during last earnings call that the $560 million project, like the contract is not representative of the entire project cost. So I'm just wondering if we have a better understanding of how much we are expecting to spend on this project?
Hon Pong Ng: Maybe I could give kind of a quick recap on that one. I mean our very rough estimate and nothing is finalized as well because there's still ongoing discussions with Mitsubishi about the major EPC contracts and the likes. So in full part, let's say, the whole thing is about USD 900 million thereabout. And then clearly, that we apply certain debt equity ratio to arrange the so-called project financing for it. Let's say conservative assumes kind of on the high side in respect of debt equity mix. Let's say, it's very conservative 40% equity, 60% debt, that sort of ratio, then you probably need to have equity of roughly USD 360 million. And then we have 42% in PLP. So simple calculation, and that's roughly $150 million that I mentioned earlier, spread over a number of years. So that's the amount of equity we need to put it back into PLP to help to build this new 670-megawatt company project. But as I said, it's over a few years until the whole thing is up and running by, I think, 2029 as kind of agreed with the regulator [indiscernible] in Singapore.
Unidentified Company Representative: Thank you very much, Joseph. Let's ask [Tony Watson] to unmute and ask his question.
Unidentified Analyst: A couple of sets of questions. First one has to do with Maya. Can you give some kind of rough overview of the loan portfolio, secured, unsecured, also distribution by industry or type of borrower? And in addition, some rough indication as to asset quality, nonperforming loans recoveries, that kind of thing. So that's the first set of questions. The last question, just very specific. What is -- what was the latest date of your rating agency -- meeting with rating agencies?
Unidentified Company Representative: When's the last time we met with rating agencies?
Unidentified Company Representative: A couple of months ago, I think.
Hon Pong Ng: We recently have 2 credit rating agencies at S&P and Moody's. I think the last one was with Moody's, 3 months ago?
S. K. Cheung: [indiscernible] publish the paper to say they confirm our investment grade rating.
Hon Pong Ng: Regular review first to say that every -- pretty much every 6 months. I think the last time we met or we have to call with the Moody's team was somewhere around April, May time frame. Right before they put up the update report and reconfirming the Baa3 credit rating with a stable outlook [indiscernible]. So we're talking about 3 to 4 months.
John W. Ryan: Okay. Great. And on your first set of questions, Tony, Maya holds its cards a little bit close to its chest because it's privately held. And also, if you look at some of the Board of Directors of PLDT, many of those people are bankers who are potentially competitors of the company they are directors of. So Maya is kind of -- doesn't tell you much more than what you got here. Now in terms of loan quality, they claim to be leading the industry in the creditworthiness of their borrowers overall. I hope that helps you a little bit.
Unidentified Analyst: Okay. And just one last question, I forgot to ask on Maya. Any plans to partially divest or spin it off?
Stanley H. Yang: Yes. Maybe I'll just add a little bit more color, Tony, to what John had mentioned. And so you were asking us about the nature of the customers and the portfolio. And so it's a mix. And Maya, as you may recall, started actually as a consumer wallet along with the merchant acquiring business. the terminals that you see in the retail stores. And as they got their bank license and started to build today, it's quite diversified, as John mentioned earlier, over 8 million bank customers, 2 million borrowers. These are very small loans. These are not the -- what you would see in the traditional banks, mortgages and the like. These are short-dated and catering to younger borrowing base. 85% of customers, for example, are millennials and Gen Z, many having the first time as a bank holders. And so they're signing up for the loans. Now because it has a wallet, there's also some -- quite a bit of data that Maya can -- in terms of assessment on timeliness, the credit scoring, their own algorithms that they can determine the quality of the customers. And so that's one key metric that they can use to ensure that they try to keep the NPLs, the nonperforming levels quite low. And I don't know if the levels are published, but really, the target is being able to maintain at a sort of a mid-single or low single -- low to mid-single-digit NPL level. And up till now, the management have been able to deliver on keeping a good quality and keeping the NPLs low. And so that's very helpful. They did build the loan book slowly, and now they're seeing the benefit of that in terms of the quality of their loan book.
S. K. Cheung: Timothy from Citi has a follow-up question. Go ahead, Timothy.
Unidentified Analyst: I actually have a follow-up questions, but it's actually on other assets under First Pacific. Firstly, I'm just wondering if I can ask some question about the Maynilad IPO. Please bear with me if it's a little bit too sensitive. So may I actually understand a bit of the change of the date from being set to be as early as July and then later on change to end October. And does management actually have a hard reference of what kind of the lowest valuation of Mainland that you will be willing to assess?
John W. Ryan: I'll take the first part, and then I guess, Stan, you take the second. Simply on the first part, there are cornerstone investors whose internal decision-making processes couldn't be compressed to allow them a July listing and so got pushed out by another couple of months just to give everybody time to go through their committee meetings and so on. Now with regard to the listing price, I think all the public documentation says up to PHP 20 a share, and Stan will try to give you what little color he can on how else this might be described.
Stanley H. Yang: Well, just to add to, John, the Maynilad IPO, the delay in June, if you were to take the clock back in a few months, in April, tariffs hit, there was market disruption in the global equity markets. And whilst it continued to recover in June, there were still some ongoing discussions with some potential large cornerstone investors. And those have not concluded yet. And so there was a decision at that time, let's pause these, allow these cornerstone discussions, which are critical to continue to develop. And then as appropriate, then to seek, let's say, in the third quarter, another chance to go on the roadshow and to really focus on getting the IPO done. Now what has happened since then is that Maynilad continues to perform very well. And the sector, as you've seen a rebound in the equity markets across the ASEAN region have been helpful. And there is a listed company, a water utility, Maynilad Water, which is on the East zone, while our Maynilad is on the West zone. And they're a listed company and their share price this year is up 57% and in the last couple of months continue to rise. And that gives us confidence, especially as management are still engaging with the cornerstones and potential anchor investors, and we're seeing strong demand, but also on the back of their first half performance, their earnings growth and the outlook for the balance of this year, we feel that the environment now is a good one. And as the cornerstones get through their own internal approvals, I think we'll be ready, hopefully, within the next month plus to get this done.
John W. Ryan: Okay. Thank you very much. We'll scroll down to look at some other questions.
Unidentified Company Representative: Margins at Indofood CBP under pressure? Okay. One more if we got scrolling down.
John W. Ryan: I'll quickly help you with the PLP dividend question. Has been paying close to 100% payout with new projects, CapEx and so on. I just want to address the dividend question, which is going to be on Page 38, please, [indiscernible]. On Page 38 shows you historical dividends by the companies that we are invested in. And I'm just pointing out that the PLP, you can say around 100% is kind of sort of -- so they do pay close to 100% year in [indiscernible]. You can expect that going forward, I think.
Unidentified Company Representative: And what else have we got now?
John W. Ryan: There's a rumor that MPIC could buy a stake in Metro Pacific Health. Stan, you're an Executive Director of MPIC. I know you're doing all the talking, but this really can only get good.
Stanley H. Yang: So on NPH, the hospital business is a fantastic business. It's a business that is growing quickly. It has been built from hospital #1 through acquisitions and turning them -- improving them and delivering a long-term track record of growth. And we believe that, that growth will continue. Now MPIC today has 20%. It started the company and over the years in 2014 and subsequently in 2019, it sold down to the 20% where it is today. Now the other shareholders are looking at a potential exit, this being KKR and GIC. I think for MPIC, we do believe that the hospital space has a lot more room to grow as a long term. We are evaluating our strategic options, including a prospect of increasing our shareholding in this business. But this is not our process. This is driven by the exiting sellers. And so at this point, I think it's probably too early to give much more color other than there's certainly interest. We believe that this is a business that has significant value, both that has been delivered, but also what we think going forward.
John W. Ryan: Okay. Thank you, Stan. The solar import project that we had at PLP involving some other partners that we know like Medco and Gallant Venture. That was announced a couple of years ago, but it's been a little bit slow. Eliza, are you well equipped to give Stan a break and give us some color on that?
Unidentified Company Representative: Yes, sure. So the project is still ongoing. It's a bit slow right now because there's a lot of sovereign to sovereign issues that need to be sorted first before all the different parties can move forward. So we're not the only project that's slowing down a little bit. There's a few other projects as well, provided that the sovereign level discussions can move forward. There's a potential that all the projects can -- we can have some certainties maybe towards the end of this year.
John W. Ryan: Okay. Thank you very much. All right. We'll go back to a question about Indofood, where we've got IndoAgri, where we're told that the Warren Buffett of Indonesia took a stake of more than 5% of the SIMP, it's got a low free float. I might direct this question to Chris. It's got a 4.5 EBIT and [indiscernible] the same. Why don't we buy out the minorities? This seems a huge opportunity right now. Well, in terms of buying out minorities, the focus there has been in recent years, not so much on the 2 Jakarta-listed plantation companies, but on their parent IndoAgri. And you will see over time that our own economic interest in IndoAgri has increased a little bit as we've managed to buy out some minorities. So if you're going to see any kind of taking private, you'd probably like to see something incremental happening over at Indo Agri.
Unidentified Company Representative: Chris, any more color to add there?
Christopher Huxley Young: Nothing to add. I think it's something I'm sure Indofood are looking at very closely.
John W. Ryan: Okay. Now if we scroll up and we look at the previous question from [indiscernible], we've got, I think...
Unidentified Company Representative: He's actually getting very specific. [indiscernible], we'll get back to you in more detail about this. But briefly, government subsidies likely, I don't think so.
Christopher Huxley Young: In fact, it's the opposite, trying to bring in more private sector investors.
John W. Ryan: Okay. Now are there questions here that we have not addressed? Stan, the outlook for electricity generation competition over the next few years. More supply coming on, but demand is also going up.
Stanley H. Yang: Yes, there's no new entrants in the market. There is some new supply from the same group of existing producers.
John W. Ryan: Okay. Thank you, Stan. Timothy [indiscernible].
Unidentified Analyst: Sorry, again. I actually want to ask a little bit about MPIC as a whole as well because I understand that over the past couple of years, I think one major driver for the profit growth would be the water tariff adjustment and also the toll increase. So I'm just wondering if there's any color at this point of time regarding the -- if any adjustment for water tariff and toll coming into fiscal year 2026.
Stanley H. Yang: Yes. I mean I think actually, when you look at the profit of MPIC, the biggest contributor is actually in the power space. I think it's important to recognize that the volumes of power that's being distributed continues to grow. But also it's the growth into the generation business. There have been some very large investments made in the gas. This is the Chromite Gas Holdings, which was formerly San Miguel Power that [indiscernible] invested in. That has -- these initiatives have really driven the strong increase in the profitability of MGEN, which, of course, then benefits Meralco overall. And there's additional growth drivers in the generation space. For instance, the solar project of Terra Solar, which is a 3,500 megawatt peak project on a single site in Nueva Ecija is, once it's completed, going to be the largest single-site solar project anywhere globally. And in the case of both the gas project, Chromite that I mentioned as well as with Terra Solar, these are long-term contracted power purchase agreements that based on the rates that have been contracted, will deliver that incremental and very positive growth to Meralco. And so that will be helpful in terms of the profitability. Now in terms of the water, yes, there have been benefits in terms of the tariffs. But beyond the tariffs, there's also the underlying demand, the -- both for water as well as the vehicle volumes in the toll road space that are separate from the -- what are the periodic adjustments in terms of the tariffs of these businesses. These businesses have been getting their adjustments. But I think in terms of the toll roads, there's quite a number of new projects, for instance, in Indonesia, but even in the Philippines, new greenfield that have been developed that will be coming on stream, and these will also be contributors for the top line as well as the profitability of these businesses. And then finally, in the water, one of the areas as an operating benchmark has been on nonrevenue water, the amount of losses that are in the system through the pipes, and that is a target that when we looked at it about 1 year, 1.5 years ago, the nonrevenue water was over 40%. That's the percentage of losses through the system. And the management over the course of the first half have been able to lower it below 40%. It's trending towards the 35% level. And so these are efficiencies that allow more water to be sold and hence, that will have a positive impact on the bottom line. And so taking those all into consideration, it's really the power, the water, the roads that are the main drivers of the profitability and will give the positive outlook for MPIC going forward.
John W. Ryan: Thank you very much, Stan. We've got another question, I believe, from Tony Watson.
Unidentified Analyst: Just on the Maya again. Any plans to spin that off?
John W. Ryan: You did ask that earlier. And I think if you look at the shareholder base of it, it'd be tough to say there are no plans and nobody has ever thought of it. Stan, can you provide any detail? On Maya.
Stanley H. Yang: Yes. I mean, look, at some point, we think that the business is very attractive. It's very strong growth and IPO could be an option that would make a lot of sense for the business, especially in the space. It's really turned the corner, though, this year in terms of now delivering the profitability. I think it still has some more runway to show, and we want to see not just this year, but also heading into next year, how this momentum continues and carries. But we think that based on what we're seeing that this trend is definitely a positive for the group and for the investments of PLDT. And so let's see what the timetable is. I think it's premature to think, but certainly not this year. But as we head into sometime in next year, I think we just take stock in terms of where the profitability in the business has developed at that point.
John W. Ryan: Okay. Are you right there, Tony? We have a written question about ISPO certification of the palm oil over the plantations business. And would IndoAgri consider rejoining RSPO? IndoAgri left RSPO certification for its palm oil business, I think, a decade ago. They felt that it is a biased and unfair system, whereas ISPO has the same sort of ecological and social standards like treating your workers fairly and not cutting down old growth forests and so on. And in fact, when you're audited for ISPO, you're audited by the same auditors that audit you for RSPO. So in terms of demonstrating the quality of your business practices, there's not a lot of difference between RSPO and ISPO, whereas under ISPO, IndoAgri has felt again for the past decade or so that it's a fair and balanced system. And it's one that I think -- well, every single plantation company in Indonesia adheres to ISPO standards, but only a fraction here to RSPO. When we come visit Europe in October, we can perhaps reopen that topic. And while it's on my mind, we're in New York City next week, and we'll be making a quick trip to California. In late October, we will be visiting Europe beginning with the U.K. on October 20. We'll be in Singapore October 8, 9, I believe. If you would like us to meet with us during these trips, drop us an e-mail. Now let me see. There's another question about IndoAgri. What can you share with respect to IndoAgri's position, Indonesian government land reviews related to palm oil? I don't think any of us are familiar enough with this question to get back to you. So I'll get back to you via e-mail on that one. And the biggest challenges we face in the next 1 to 5 years, Chris Young, Executive Director, can you please help us with that?
Christopher Huxley Young: I think the biggest challenge -- the biggest challenge we face is really to continue what we've achieved over the past few years, which is growing our earnings, growing our dividends and maintaining a pretty solid financial position. So that really is the focus of management here to work with the operating companies, Indofood, Metro Pacific, PLDP, Philex, PLP to continue to see that growth. And that really is what we are focused on day in, day out. We think we have good businesses in sectors which will benefit from the growth, which John referred to in the Philippines, Indonesia and Singapore. And I think we are in a good position to deliver on that.
John W. Ryan: Well, Chris, thank you very much for that summary of where we sit at the moment and how we look at the future. Again, folks, if you've got more follow-up, please drop an e-mail to Sara Cheung or John Ryan. We'll be happy to get back to you promptly and thoroughly. I believe we've addressed all the questions that we can here.
Unidentified Company Representative: I don't think we have any outstanding questions.
John W. Ryan: Over to you, Sara.
S. K. Cheung: Yes. Okay. Thanks again for joining today's online briefing.